Operator: Good day, ladies and gentlemen, and welcome to the S&T Bancorp, Inc. Second Quarter 2021 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode, and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Mark Kochvar. Sir, the floor is yours.
Mark Kochvar: Thank you very much. Good afternoon, everyone. Thank you for participating in today's conference call. Before beginning the presentation, I want to take time to refer you to our statement about forward-looking statements and Risk Factors, which is on the screen in front of you. This statement provides cautionary language required by the Securities and Exchange Commission for forward-looking statements that may be included in this presentation. A copy of the second quarter 2021 earnings release can be obtained by clicking on the Press Release link on your screen or by visiting our Investor Relations website at stbancorp.com. We will be reviewing an earnings supplement slide deck as part of this presentation. You can obtain a copy of those slides through the link on your screen or also on our website under Events & Presentations Second Quarter 2021 Earnings Conference Call and click on the Second Quarter 2021 Earnings Supplement. With me today is Dave Antolik, S&T's President and Interim Chief Executive Officer. I'd now like to turn the program over to Dave.
Dave Antolik: Well, thank you, Mark, and good afternoon, everyone. Mark and I appreciate you joining us for the call today and for your ongoing interest and support of S&T Bank. As announced last week, our board of directors has chosen Mr. Christopher McComish as our new CEO. Chris comes to us with a wealth of executive bank leadership experience and I look forward to him joining us on next quarters call. I've had the pleasure of spending time with Chris over the past several weeks as we work together to transition duties and welcome him to our organization and community. I strongly believe that his experiences leading larger, customer-focused and employee driven organizations, particularly in the digital and consumer spaces will complement my long tenure and understanding of our culture customers and my experience in the commercial banking space. I believe that we have found the right leader to move us forward as a strong independent Community Bank focused on growth and providing solid returns for our shareholders. If I could refer you to Page 3 of our earnings supplement for the quarter, I am pleased to report net income of $28.4 million that translates to total earnings of $0.72 per share. Our return metrics remain solid and in line with our expectations with ROA of 1.21%, ROE of 9.65%, return on tangible common equity of 14.41%, and pre-tax pre-provisions to average assets of 1.61%. I'm also pleased to report that our board of directors has declared a $0.28 per share dividend consistent with Q1; it was the same period last year. The dividend is payable August 19 to shareholders of record on August 5. Slide 4 highlights the changes to our balance sheet during Q2. Cash balances grew by $985 million. Our primary goal for deploying this liquidity is by growing customer loan balances. In support of this goal, we experienced improved customer demand, as evidenced by a continuation of growing loan pipelines in all categories, a modest increase in commercial utilization rates, and increases in total commitments of $189 million during the quarter. Our year-to-date loan production is well ahead of goal in all categories, and was particularly strong in late June. However, this production was offset by higher CRE payouts earlier in the quarter. Highlighting consumer loan balance activity was an increase in home equity balances that was offset by lower residential mortgage balances. We expect the residential mortgage balances to reverse course, as we book more to the portfolio in support of our past deployment strategy, and a change in customer activity from refinance to purchase and construction. We anticipate that second half loan growth including -- excluding PPP to be in the low-single-digits consistent with prior guidance. During the quarter, we made several key additions to our production staff, including a new marketing executive in Northeast Ohio, a new Director of Mortgage Sales, two business bankers, and three commercial bankers. I'll now turn the discussion over to Mark to cover the next few slides.
Mark Kochvar: Well, thanks, Dave. On Slide 5, we have the net interest income, which shows a decrease by $2.4 million compared to the first quarter. This is mostly due to a decrease in PPP contribution of $1.7 million from $5.8 million in the first quarter to $4.1 million in the second quarter. All the amount of loan balances forgiven actually increased compared to last quarter contribution was lower and we had more larger balanced loans being forgiven, those carry lower fees as percent of the balance. Also contributing to lower net interest income was a lower average loan balance not including PPP of $123.1 million. The headline net margin rates declined by 31 basis points compared to the first quarter to 3.16%. The largest contributor to the decrease was a $483 million increase in average cash balances, which reduced the net interest margin rate by 18 basis points. The lower PPP contributions I discussed already account for another eight basis points to the decline, we had lower yield on loans and fees which resulted in a decline of seven basis points, and lower security yields and other mix changes reduced the net interest margin by another three basis points. This was only partially offset by lower costs and liabilities of five basis points. We suspect that the cash levels will persist for some time, and we still have an additional $336 million of PPP loans, yet be forgiven and there are no signs yet that deposit levels will reduce. With most single digit loan growth and not much appetite for huge investments in fixed income, we expect the net interest margin to stay at or slightly below these levels for the next several quarters. That might come with some volatility as the remaining PPP loans are forgiven, particularly in the fourth quarter. On the next slide, noninterest income in the second quarter decreased by $1.8 million compared to the first quarter, the largest decrease was in mortgage banking, which declined by $2.6 million to $1.7 million. Production remained strong but shifted more to the balance sheet including to home equity loans as Dave discussed. We also sprayed some tightening of spreads in our sales to Fannie Mae. Mortgage servicing rights valuation swung the other way with second quarter -- second quarter with lower rates, resulting in a quarter-over-quarter decline of $1.2 million. The bright side in fees is the debit card, which is now running well ahead of pre-pandemic levels. We also saw improved numbers in wealth management through a combination of assets appreciation and increased customer activity. We expect the run rate in noninterest income to be $15 million to $16 million per quarter. On Slide 7, the noninterest expense was essentially flat overall compared to the first quarter well controlled at $45.8 million. Higher salary benefits of $1.2 million came in through incentives and annual merit increases. Other expense categories were in line with the prior quarter. We do expect our run rate going forward to be closer to $47 million due to new hires and a focus on production. On Slide 8, at the top, our ACL loans decreased from 1.60% in Q1 to 1.56% in the second quarter, and 1.64% from 1.72% excluding PPP. The $5.5 million release came in part from specific reserves which are down $1.6 million, and also from lower qualitative adjustments due to the improvements in the economic outlook.
Dave Antolik: During Q2, we experienced our second consecutive quarterly decline in NPLs, as the impact of the pandemic and economic recovery become more clear. In some cases, uncertainty remains where customers who are still recovering. As we receive updated financial reporting and valuations, we adjust our reserves accordingly, the effect of the updated valuations directly impacted charges for Q2.
Mark Kochvar: And then, finally, on Slide 9, capital risk weighted capital levels all improved, while leverage ratio and TCE continue to be weighed down by PPP and also the higher cash flows. All capital ratios are in excess of regulatory and well-capitalized levels and our capital cushion continues to expand. In March of 2021, the board extended the repurchase authorization for additional year through the first quarter of 2022. We have $37.4 million remaining on that authorization. While we have no immediate plans to do buy backs, we're monitoring valuations and are prepared to respond to conditions warrant. Our preferences to utilize our capital to support growth organically or through M&A.
Dave Antolik: So in conclusion, we're excited to move forward under new leadership with improved clarity on economic conditions, and feel that we're well-positioned to achieve improved growth in the coming quarters. I'll now turn the program back to our host and open the lines for questions.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions]. Our first question today is coming from Michael Perito at KBW. Your line is live.
Michael Perito: I wanted to start on the loan growth side. It sounds like you guys are a bit more optimistic about pipelines. And we have seen, there'll be a little bit of activity in your markets from a lending perspective this quarter, I guess what are -- if you take -- some of your high-level remarks a step further here? I mean, what are some of the dynamics that need to occur for you guys to kind of put on some consistent net growth in the back half of the year. And as we try to handicap what that that could look like. I mean, do you think you can do like a mid-single-digit rate per quarter in the back half of year annualized or do you think it might take some time to build up to that type of level of production?
Dave Antolik: Yes. So Mike, there are a couple back points that I would point to. The first is that increase in commitments that we saw for the quarter, $189 million and that's split about $100 million in the commercial space, which would be revolving availability along with construction commitments, along with activity in the consumer space, Home Equity, and normal revolving consumer products. So I think that points towards better growth in the second half of the year, we did see a modest increase in utilization quarter-over-quarter. And I would expect that to continue as well. And our pipelines in virtually all areas are up quarter-over-quarter. That coupled with our desire to deploy some of the cash by booking some additional portfolio mortgage activity and customer demand, moving from refi to construction and purchase, which is more it would make our portfolio products more attractive, I do believe that we can get to single-digit loan growth on an annualized basis for the last couple of quarters.
Michael Perito: And can you guys, can you expand on that dynamic just a little bit more as we think about kind of the mortgage banking fees versus the portfolio of residential production and how that dynamic might impact kind of the geography of those revenues in the back half of the year?
Dave Antolik: Yes, so one of the important points to make with regard to the mortgage activity is that on a gross dollar basis, quarter-over-quarter, the activity was up. And our pipeline again is up. So it's really the dynamic between what we sell, spreads that we see on a sale, which were down slightly during the quarter as Mark mentioned and then the customer demand, which is shifting more to portfolio products. The other big factor in the mortgage banking revenue number was the NSR change that cost us about a million two quarter-over-quarter. So some of its going to be rate dependent, some of it's going to be appetite of buyers. And then in addition to our home equity products, firstly, home equity product is very attractive too which could bolster portfolio balances as well. So it's a dynamic and a balance between customer need and customer desire, and then where the product benefits the customer. But that we just say the activity overall to continue at the current pace.
Michael Perito: Got it. And then just -- that's helpful. Thank you. And then just lastly for me, I mean, it feels like with the non-performers dropping in the quarter and seeing the ex-PPP ACL come down a little and I mean, are we close to turning the corner here on the charge-off activity? Do you expect it to subside in the back half of the year given what you know at this point?
Dave Antolik: Yes, as we gain clarity throughout the rest of the year is a big issue for us. As you know in Q4 of last year, we downgraded a big chunk of the hotel portfolio. We continue to monitor that closely. And there is some valuation risk as we get assets reappraised through the balance of the year. I mean directionally I think we should continue to see improvement, but there is some uncertainty there.
Operator: Thank you. Our next question today is coming from Russell Gunther at D.A. Davidson. Your line is live.
Russell Gunther: Can you circle back to the margin those discussion for a bit I think I heard you, Mark, say at or below kind of current levels near-term. And so just want to get a better sense for the dynamic there. I mean, first off, are you guys expecting to see continued pressure on new money loan yields and just kind of what helps kind of claw us out of the 3.16% range going forward?
Mark Kochvar: Yes. I think for the next couple of quarters, we still see some pressure on if you could call, a core margin just about kind of cash and the PPP activity. The deposit costs are about as low as they can go. We saw those drops by another seven basis points this quarter, but there's not much left there. On the asset side, we continue to see a fairly large difference between the new and the pay that it expanded to around 80 basis points this past quarter. So there's some asset yield pressure that's still there. That'll -- that'll reduce not from both the new loan rates, but the pay rates, should moderate as we get into the back half of the year. So for us that the rate, I don't expect that to improve a lot with the exception of the PPP timing. What we'd like to see happen we expect to happen is that the loan balances will start to grow and just from an absolute dollar revenue perspective that we should see some improvement there.
Dave Antolik: Yes, that's the upside for us Russell is fulfilling and delivering on these pipelines that we have in order to redeploy the cash that's earning very little as you said. Does that sound right?
Russell Gunther: Yes, I appreciate that, guys. Yes, I guess the other part of my question then would be, so it sounds like the loan growth is going to turn the corner for the back half. How are you thinking about the investment portfolio as a use of chopping up some of that excess cash as well?
Mark Kochvar: It'll probably be fairly limited. We've been adding maybe $25 million to $50 million per quarter. We've used up the whole lot of value in the bond stack these days. The yield on the type of exit or the type of bonds that we are comfortable with on the very low 1% is that so we're just not sure that the risk reward trade-off is there given our desire basically to get that back into. So you don't have to pay any wholesale or any large move from cash into the investment portfolio at this time.
Russell Gunther: Okay, great. And then just a housekeeping question. Do you have the outstanding PPP loan balance and remaining fees?
Mark Kochvar: About 336, as of the end of the quarter fees is about $9 million left to recognize.
Russell Gunther: Okay. Thanks for that. And then, just a bigger picture question here with Chris coming in a month and Dave, you guys have spent some time together. Just any thoughts on any bigger picture strategic decisions that you guys may be contemplating whether it's taking a look at the expense space, getting active in M&A. Just any broad strokes, early innings with Chris coming on board?
Dave Antolik: Yes, beyond a high-level message that we've expensed to our employees, our communities shareholders that we anticipate remaining independent, obviously, we need to earn that. But the investments that the board has made in Chris and the rest of the staff, it should point us towards growing above and beyond $10 billion and moving forward. So the kind of all the above that the focus in the short run is making sure that we're able to drive revenue on an organic basis and you'll continue to augment that in the M&A space or other revenue diversification activities.
Operator: Thank you. Our next question today is coming from Matthew Breese at Stephens. Inc. Your line is live.
Matthew Breese: Maybe just following-up on the top-line, the NIM question, just asked a different way. So if I exclude PPP income, I see core NII of about $64.2 million this quarter, and it's been here in and around this range for about three quarters. With the loan growth and securities growth that you're contemplating is this level just mark a bottom in your view? And if so, where do you think you can grow revenues, core NII to over the next call it six to 12 months.
Mark Kochvar: I agree on NII, I hope, we do think that we're at or close to the bottom. Again, given the ability or what we thought was in the back half of the second quarter in terms of the loan growth. So you think that it's positive going forward, but it's going to depend on how the recovery progresses and our ability to grow those loans that will govern how much of an increase can happen over the next six to 12 months.
Matthew Breese: Okay. And then just following-up on, Chris, in some of the broader strokes there. It couldn't help but notice that his background is pretty heavy in consumer, both at TCF and then at Scottrade. As we think about the road forward for S&T, should we contemplate more of a consumer offering a more balanced approach there? And if so, what kind of services and products do you think we could see that would be new and different?
Dave Antolik: Yes, well that's certainly one of the goals; Matt is to provide better balance. And that's something that I've been working on with our consumer team over the past year. So to help diversify revenue and dependent upon net interest income in the commercial space. So we have seen some pretty nice increases in terms of the fundamental revenue sources that come out of the consumer bank. And I would expect Chris to continue that. If you look at the investments we made, particularly through this DNB franchise, that's a very attractive market. And exploiting that opportunity on a -- in the consumer bank is a focus for us. So yes, I think that everything's on the table in terms of growing revenue. We certainly don't want to give up what we do well, and we will continue to be a commercially focused bank. But his background, as I mentioned in my prepared comments really complements mine. And that's why we're excited about this partnership. And where we're able to -- where we will be able to take this.
Matthew Breese: Great. Well, I appreciate that. I'm sure there's more to come next quarter when he's on the call. Thank you.
Dave Antolik: Thanks Matt.
Operator: Thank you. [Operator Instructions]. We have no further questions in the queue.
Dave Antolik: So thank you for your participation in today's call. Mark and I welcome your questions and comments and we look forward to next quarter and having Chris McComish join us for the call. Thank you and have a wonderful day.
Operator: Thank you ladies and gentlemen. This does conclude today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.